Operator: Good afternoon. Welcome to the Aspen Group’s Fiscal Year 2019 Third Quarter Earnings Conference Call. Please note that the company's remarks made during this call including answers to questions including forward-looking statements which are subject to various risks and uncertainties. These include statements relating to future growth including from USU, FNP program and the Aspen University hybrid pre-licensure of BSN campus model, student enrollments, the core Aspen online Nursing units expected Q4 results and marketing plans and our liquidity. Actual results may differ materially from the results predicted and reported results should not be considered as an indication of future performance. A discussion of risks and uncertainties related to the Aspen's business is contained in its filings with the Securities and Exchange Commission mentioned in the press release issued this afternoon. Aspen Group disclaims any obligations to update any forward-looking statements as a result of future developments. Also, I'd like to remind you that during the course of this conference call, the company will discuss adjusted EBITDA and EBITDA, which are non-GAAP financial measures. In talking about the company's performance, reconciliations to the most directly comparable GAAP financial measures are provided in the tables in the press release issued by the company today. There will be a transcript of this conference call available for one year at the company's website. Now I will turn the call over to Joseph Sevely, Aspen Group’s, Chief Financial Officer.
Joseph Sevely: Good afternoon. I will begin today by reviewing our financial results for our fiscal 2019 third quarter. Then, will turn the call over to the Chairman and CEO of Aspen Group, Michael Mathews. To open, quarterly revenue was approximately $8.5 million, a 49% increase from the comparable prior year period and a sequential increase of $0.4 million, or 5%. In the third quarter, we had solid growth at USU in our pre-licensure campus program. In fact, these two relatively new business units accounted an aggregate for 25% of the company’s overall revenue up from 21% of previous quarter. Just as a reminder, one of the unique features of Aspen’s Online core business model is that their students can choose when and how many courses they can pick throughout the year, different from the vast majority of universities in America in which students pay for their education with federal financial aid and require to be continuously enrolled to remain eligible. As a consequence of this flexible scheduling and payment policy, Aspen Online core sees more seasonality than other universities. As we mentioned on last quarter’s call, fiscal Q1 is our slowest seasonal quarter given it all starting the summer months. But we also see a seasonable slowdown in Q3 given it all starting the holiday period between Thanksgiving and New Year. As a result, AU online core revenue declined slightly from the second quarter by less than 1%. However class starts before and after that were strong, so we are confident that is a seasonal dip but will also expect to see in Q3 in future fiscal years. The good news is fiscal Q4 is our seasonal highpoint as most of the great month of January flows into revenue in Q4. So while we saw Aspen Online core revenue declined sequentially by less than 1% this quarter, in Q4 we expect revenues in Aspen Online Nursing core to rise in the range of $1 million sequentially. So yes, Aspen Online Nursing core is a bit of a whipsaw in terms of seasonality. But as we continue to get larger, we have developed expertise at really understanding it and predicting it. Aspen Group’s gross profit for the third quarter increased to approximately $4.2 million or a 50% margin. This represents a 46% increase in gross profit compared to last year's third quarter. On a sequential basis, gross profit increased 3% and gross margin remains at 50%. Aspen University's gross profit represented 54% of Aspen University's revenue for the quarter while USU’s gross profit equaled 45% of USU’s revenue for the quarter. Total instructional costs and services for the quarter rose to approximately $1.8 million or 21% of revenue. Aspen University's instructional costs and services represented 18% of Aspen University revenue for the quarter while USU’s instructional costs and services equal 30% of USU’s revenue for the quarter. Both of these were up slightly by 1% as compared to the second quarter. However, we do continue to expect USU’s instructional costs as a percentage of revenue to decline as revenue grows. Marketing and promotional costs for the quarter were approximately $2.3 million or 27% of revenue declining from 28% as a percentage of revenue in the second quarter. Aspen University's marketing and promotional costs were 25% of Aspen University's revenue for the quarter, the same as the second quarter. USU’s marketing and promotional costs equal 25% of USU’s revenue for the quarter down from 27% last quarter. G&A costs for the quarter were approximately $6.3 million compared to approximately $4.7 million during a comparable prior-year period, an increase of $1.6 million or 34% and a sequential increase of approximately $0.1 million or 1%, containing G&A increases as we continue to aggressively grow revenues is the key to margin expansion. So we are satisfied with the very modest sequential increase in this area of 1%. Net loss applicable to shareholders was approximately $2.35 million or diluted net loss per share or $0.13 for the quarter as compared to a net loss of $2.15 million or $0.15 per share for the comparable prior-year period, an increase in the loss of approximately $0.2 million. Aspen University generated approximately $0.4 million of net income for the quarter. USU experienced a net loss of approximately $0.9 million during the quarter and AGI corporate incurred $1.8 million of expenses during the quarter. USU’s net loss declined by over $200,000, over half of that improvement attributable to operating income. Since USU’s revenue increased by about $250,000 sequentially, USU achieved about 46% operating leverage in the quarter. With regard to our liquidity position, Aspen Group ended the quarter with approximately $4.2 million in unrestricted cash down $3.5 million from the level at the end of the second quarter. Cash used in operations for the quarter was about $1.8 million compared to $2.1 million last quarter. We are satisfied with that sequential improvement of approximately $200,000 given revenues rose by approximately $400,000 and also considering the third quarter included $160,000 annual interest expense payments that didn't occur in the second quarter. Overall, cash used in the quarter of $3.5 million was up from $2.7 million last quarter due primarily to the repayment of $1 million in principal on a convertible note related to the USU acquisition as well as the aforementioned $160,000 interest payments on that note. If not for the repayment of the convertible note and the associate interest on that note, we would have had an improvement of over $300,000 in terms of overall cash used. At the beginning of the third quarter, we established a $5 million revised revolving credit facility. Together with the $4.2 million in unrestricted cash, that means we ended the third quarter with $9.2 million of liquidity resources. Last week, we announced that we entered into a $10 million under term loan with initial maturity of 18 months and the ability for the company to extend that maturity for an additional 12 months by paying a 1% extension fee. We also announced that we repaid remaining $1 million on a convertible note related to the USU acquisition thereby eliminating the conversion option. This now gives the company approximately $9 million of additional liquidity resources clearly enough to execute on our short and long-term growth plans. Mike Matthews will provide more color on our growth plans in a few minutes. But before he does, let me just say it's no secret that our valuation has slid over the last few quarters. We were concerned that the stock price remain at these levels and absent any new funding, we could find ourselves having to choose between artificially slowing growth or accessing capital and unattractive terms. We didn't like it either of those alternatives. Instead, we decided to increase debt financing and a sufficient amount that it takes those concerns off the table. While this debt is more expensive than a traditional bank line of credit, it is however less expensive the mezzanine debt. It is of course much less dilutive than equity and allow us to continue our growth trajectory without reliance on any additional external financing. We are confident that the returns to our shareholders from that growth will significantly outweigh the cost of the debt. Now I'll turn the call over to Michael Mathews.
Michael Mathews: Thank you, Joe. Good afternoon everyone. Today I'll begin with our enrollment results followed by an operational update of our two newest business units USU and pre-licensure BSN program. Then I'll end by recapping our recent accreditation announcements. Enrollments in the third quarter rose 40% year-over-year to 1,363. Aspen University accounted for 1,112 new student enrollments which included 120 doctoral enrollments and 97 pre-licensure BSN Arizona campus enrollments while United States University they accounted for 251 new student enrollments which were primarily MSN Family Nurse Practitioner enrollments. These year-over-year enrollment increases were a result of how we grew the call center and where we directed our increases in marketing spending. In terms of enrollment center staffing, on a year-over-year basis, the Aspen Online Nursing core unit remained flat at 49 enrollment advisors or EAs. The year-over-year increase of 21 EAs were all allocated to the three new business units Aspen Doctoral 6 EAs, Aspen pre-licensure BSN 4 EAs and USU 11 EAs. As we've indicated in recent quarterly calls, this shift was carefully planned as a result of these new programs delivering materially higher LTVs than our traditional Aspen Nursing core unit. Let's walk through the LTV differentials. First our Aspen Nursing Online core unit has delivered an historical LTV of $7350 per enrollment. Aspen’s Doctoral unit delivers an LTV of $12,600 per enrollment for an ARPU increase of 71%. Our USU FNP program which today represents 84% of USU’s total student body deliveries an LTV of $17,820 per enrolment or an ARPU increase of 142% relative to our traditional Aspen Online Nursing core unit. Finally, we launched the Aspen BSN pre-licensure hybrid campus business back in July last year and have been carefully watching the persistence of that initial cohort of 92 enrollments. Not only is this the most expensive degree program in the company at approximately $47,000 including both tuition and fees earned over a three-year period, we're seeing materially better persistence rates relative to our traditional Aspen Online Nursing core student. For example, we began our first BSN pre-licensure semester in July with 29 students starting the final two-year core program with all their first year prerequisites already completed. And two semesters later, we have 25 that remain in that program meaning that we've only seen attrition of 14% to-date among the initial cohort of students that began the final two year core program. The graduation rate for our traditional BSN online program is 76% and based on the early results from the BSN pre-licensure program, we projected graduation rate for pre-licensure will be in the same range if not even higher. So we're comfortable giving guidance that our BSN pre-licensure business will deliver the highest LTVs among all of our degree programs in the company and that LTV will be at least $30,000. As the cohort continues to progress, we'll refine the LTV guidance to a more exact number but at $30,000 per enrollment, that would deliver an ARPU increase over 300% relative to our traditional Aspen Online Nursing core unit. Given the ARPU increases across our three newest lines of business, it should be clear now why we have focused our growth capital on these businesses. Since we announced our $10 million term loan last Thursday, a number of shareholders have asked why we decided to increase our liquidity position by approximately $9 million. The short answer is we want to ensure that we have an adequate liquidity to grow all four of our businesses over the next few years thereby not having to pick and choose which to grow based primarily on LTV, we have lots of runway to continue capturing market share in our Aspen Online Nursing core unit and we plan to increase advertising spending and our enrollment team in that traditional business later this calendar year in addition to executing on our growth plans in our other three business units. With that, now I'll provide business updates on our two fastest growing and highest LTV businesses, USU’s FNP program and Aspen BSN Pre-licensure Hybrid Campus program. As we previously announced, USU has successfully enrolled to its target of at least 150 FNP students every other month over the past two enrollment cycles November 2018 and January 2019 start which represents a 100% increase from the previous target of enrolling 75 FNP students every other month. As a result USU ended the quarter with 803 FNP students representing 84% of USU’s active student body. Assuming, we continue enrolling at least 150 FNP students every other month, we're estimating by the end of next fiscal year or April 30, 2020 we'll have approximately 1400 FNP students at USU after taking graduations and other attrition into account. Another way of analyzing this growth is shall we continue enrolling 150 FNP students every other month or approximately 900 annually assuming an LTV of 17,820 per enrolment and that means we've begun booking FNP student LTV at a rate of about $16 million per year which will be earned as additional revenue of $8 million per year over a two year period. One final comment on our USU FNP program. We just enrolled 165 FNP students for our March start date. So we're clearly on track to continue our pace of at least 150 enrollments every other month. Now I'll provide an operational update on our Aspen Pre-licensure BSN program. As previously disclosed, Aspen University spent about $42,000 marketing this new Pre-licensure BSN program in the Phoenix Metro in the months preceding its July 2018 launch. Hold on one second, we have a fire truck. Since that initial marketing spend, Aspen has delivered 247 enrollments and begun three semesters, July and November day program and the January night weekend program without having spent any additional marketing dollars over the past six months. Consequently, the cost for enrollment to date for the pre-licensure BSN program has been approximately $170. As of January, when we began the night weekend program, Aspen now will start a semester every other month on a go forward basis meaning we now have three-day semesters per year and three night weekend semesters per year. As a result, Aspen has begun marketing again to maintain steady prospective student lead flow and to prepare for the launch of our second campus on the north side of Phoenix in partnership with HonorHealth. The initial semester for HonorHealth is now currently targeted to begin this coming September. These two campuses in Phoenix are projected to have approximately 1000 active students by the end of next fiscal year or by April 30, 2020. In terms of future campuses, we've set an internal goal of launching two campuses per year versus our original plan of one per year starting in calendar year 2020. We'll be providing more details on our 2020 campus expansion plans later this calendar year. Finally, hopefully all of you have seen our two accreditation announcements over the past few weeks, last year I mentioned that as timing would have it, we had to undergo accreditation reviews at both our universities in back to back months last fall. The outcome of both reviews was a successful confirmation of each university's accreditation. In the case of USU, the regional accreditor WASC commended us for the improvements we've made since the acquisition in the areas of advising, marketing, enrollment, data analytics, technology and early warning tools to increase student success. In addition, the commission commended our commitment to creating an affordable pathway to higher education through our monthly payment plan. I'd like to end today's remarks by again thanking everyone at Aspen and at USU for their efforts and the great teamwork that led to these successful accreditation outcomes. That ends our prepared comments for this afternoon. Now we'd like to open the call to address any questions.
Operator: [Operator Instructions] Our first question comes from Darren Aftahi from ROTH Capital Partners. Please go ahead.
Darren Aftahi: Hey guys, good afternoon. Thanks for taking my questions. Couple if I may Mike as you're speaking on accreditation, for USU you kind of talked about the March enrollment is being 165. I'm somewhat curious how accreditation could potentially change that 150 or so students every other month to perhaps a bigger number. Could you indulge what that accreditation actually means in terms of that 150 of every other month essentially increasing?
Michael Mathews: Well okay, so first of all the accreditation review is from WASC which is the regional accreditor in the Western region which accredits institutions in California and a few other states. So they don't -- their accreditation is for all degree programs not just the specific program of the Master’s level Family Nurse Practitioner program, the FNP program is accredited by the State of California registered Board of Nursing and that I want you to understand that the 150 enrollments that we are currently targeting every other month, that's an internal guideline. There's no firm “Rules” that get put into place by any regulatory bodies. We plan to maintain that 150 enrollment range every other month for the next few quarters at a minimum. And we of course work closely with the California registered Board of Nursing as it relates to our growth plans as well as all the other support expenses involved in growing this methodically and carefully.
Darren Aftahi: Great. Then on pre-licensure, so a couple of questions you called out enrollment LTV and what you spend on marketing. So ahead of the initial launch and you’re sort of marketing again ahead of the launch of HonorHealth, so I'm somewhat curious. What's that marketing spend going to look like as it stands right now and I mean the LTV at 30,000 is one side of the equation, you've kind of given us 170 as the other side. I’m just sort of curious, if you have any kind of sense for what that marketing efficiency ratio could actually look like longer term?
Michael Mathews: Yes, I mean I'd have to work that out for you in terms of the market efficiency ratio. But we're currently spending around about $5,000 a week, so about $20,000 a month currently. And we'll probably continue doing that pretty consistently up through the September launch of HonorHealth. So you can run the math kind of what the likely cost of enrollment will be assuming that we bring in initially say 100 students into HonorHealth in that first semester would be probably 70 students in prerequisite and another 30 in the final two year core.
Darren Aftahi: Got it. And then just back to the…
Michael Mathews: Another thing Darren, that spend rate of that I just mentioned that would include the spend rate that would support leads and enrollments for both campuses not just HonorHealth.
Darren Aftahi: Got it, thank you. And just get back to the FNP, so what would cause you to if it's internal. I appreciate what would cause you to increase that number or potentially make it every month? Is there an internal rate of return you need to see? Do you want more stability of metrics? What's kind of the pivot point for you to kind of increase just broader proliferation of the USU platform?
Michael Mathews: Yes, sure. That's a good question. So I understand that the FNC program is a national licensure program and it’s a two-year structured program and as soon as the student completes year one, they have to be placed into their clinical rotation for that second year. And if you don't place someone in adjustment time basis, you could -- there's a lot of issues that would cause, student complaints, their accreditors would be upset et cetera. So what's important in understanding how to develop this program is all from a faculty point of view, we have to increase the faculty over time. We have to increase the student services side of the House to support that growth and most importantly, we have to build an office of field experience and these are the people that are involved in placing these students into their clinical in adjusting time basis. So we’re going to look later this year at moving to enrollments on an every month basis rather than every other month. But I prefer to talk about that as the subsequent couple of quarters go by and we'll give updates at that point.
Darren Aftahi: Thank you.
Operator: Thank you. Our next question comes from Eric Martinuzzi from Lake Street. Please go ahead.
Eric Martinuzzi: Thanks. Congrats on the 49% revenue growth. We definitely don't want to take that for granted and it’s a nice accomplishment and a question specifically speaking of revenue, you talked about $1 million incremental uplift sequentially expected in Q4. I know you're not specifically giving guidance for Q4 but the three consensus right now is for about $9.9 million in Q4. Is that within the ballpark of what you think you can do in Q4?
Michael Mathews: I guess what I would say is that we're very comfortable with the current analyst consensus range just on a bottom line perspective, the only exception would be that of course our interest expense is going to increase given this new term loan.
Eric Martinuzzi: Okay, because that nine point, I mean if again the consensus estimate would have you at about 37% growth all-in. Okay, and then shifting over to I wanted to ask a couple of questions. The pre-licensure the Hybrid campus, historically and I think you've been talking about July for your first class starts there. And now you're talking about September. What was the deciding factor there as to why that moved couple of months?
Michael Mathews: Yes, and it's really just an issue of how long the build-out is going to take. I'll give you a little bit of color on that. The building that we're going to launch in is actually owned by HonorHealth. It's on the North side of Phoenix right at the junction of Interstate 101 in 2017 for those of you that know the Phoenix area. The building up until recently was a actually a daycare center. And so as a consequence, it took us a period of time to get the architectural plans completed and then subsequently of course we have to get that approved by the City of Phoenix. And then finally, it's a pretty significant build-out plan given the changes to the building itself in order to turn it into a world-class nursing campus. So this time, we're looking right now at the completion of the building itself, it's going to be in the July timeframe and because we don't have a semester that begins in August, our next semester of course would then be September.
Eric Martinuzzi: Okay. And you also talked about given the depth that you've got now, you can pursue -- continue to pursue kind of growth in all vectors, this additional I know you're talking about calendar 2020 before you start by now you’re two per year. But will they be, are you envisioning this being similar to HonorHealth where you go into the next Hybrid Campus with a partner like that or will it be kind of a standalone Aspen location?
Michael Mathews: Yes. As we look at other cities both inside the State of Arizona as well as other states outside of Arizona, the first thing that we have to accomplish is implementing a corporate partnership with a significant healthcare institution to lock up the clinical places that are necessary to launch a new campus in a given Metro, when we get into those partnership discussions, it can go either direction if it makes sense for us to put a campus inside the healthcare organizations, real estate location then that would be something we'd love to do. In some cases, it’s not possible in which case we would launch Aspen on its own like we did our inaugural campus. So I think over time, you'll see us do both of these implementations depending on the situation.
Eric Martinuzzi: Okay. Then on last question, you kind of hinted at you touched on it a little bit but your most recent announcement in which you talked about the new debt facility, you basically said hey we haven't drawn down the revolver. We haven't taken anything out of the debt but you're talking about interest expense in Q4. So how much are we talking about taking on here in the near term and then could you give us an interest expense, if not for Q4 then maybe for fiscal 2020 just for modeling sake?
Michael Mathews: Sure. So the $10 million term loan that we just did is a funded facility bearing interest to 12%. So they'll incur cash interest of $100,000 per month. There were also some warrants issued on that. So we will amortize warrant expense over the life of the facility. We also for the current quarter, the fourth quarter -- we're currently in the fourth quarter right now. We paid or prepaid our $1 million convertible term loan and we did pay the interest on that. So we will be expensing that in the current quarter as well.
Eric Martinuzzi: Okay, thanks for taking my questions.
Operator: Thank you. [Operator Instructions] Our next question comes from Mike Malouf from Craig-Hallum Capital. Please go ahead.
Michael Malouf: Great, thanks guys for taking my questions. Michael, could we focus a little bit on the pre-licensure program for just a second. How can you give us confidence that that the level of education and specifically with regards to testing coming out of the program can remain at such a high level that you feel confident sort of accelerating the program in to next year, I'd love to get some color on that?
Michael Mathews: Well, I mean I frankly I feel like we have a world-class senior leadership team in the academic side. Dr. Cheri St. Arnauld, our Chief Academic Officer for Aspen Group, Inc. and in addition and of course she came from very strong university the Grand Canyon University. And subsequently we brought in Dr. Anne McNamara who's a former Dean of Nursing for Grand Canyon to head up all of our pre-licensure programs from campus to campus, city to city. Anne’s history is she never had a year in which she had less than 90% intellect scores. So my confidence level and everyone's confidence level at Aspen is very high that we will achieve those similar type of metrics if not better.
Michael Malouf: And then when you take a look at least some early indications from some of the students that joined you last year, how are they getting along with the more hybrid online, offline sort of a lot more online programs versus maybe what Anne was working at -- working with Grand Canyon?
Michael Mathews: Yes, I mean so I guess the best way to view this is to look at the persistence rates. Persistence rates are, I think I indicated that we've only lost 14%, so is that 86% persistence rates. The students have given us tremendous feedback in terms of how we approach the academics, the knowledge transfer happens online. In other words the curriculum is online and then we bring the students in approximately three times a week to implement seminars or lectures if you will and they follow-up those lectures with actually simulation activities immediately after the lecture. So and then of course in year two of the core program, the final year is when they go into their actual onsite clinical. So we believe that we're preparing these students at extremely high level and that we're going to have very high intellect scores and we're going to do a great job of preparing the next generation of great ends today in the State of Arizona.
Michael Malouf: That's great. That's really helpful and then just a quick question as you look out over the next couple of years for your traditional Aspen Nursing students. Where do you think does that number stay steady or increase a little bit? Obviously, you're taking some of those, some of that assets or a lot of the assets and pushing it towards these higher LTV programs but the LTV at 7350 even that was pretty attractive, is that do you think that can continue to grow slightly or do you think that will trend down over the next couple of years?
Michael Mathews: No, I think our plan is to the enrollments over the last two, three quarters have been relatively flat in that area. And again we spend -- Mike we spend approximately $1.3 million per quarter in that Nursing Online core business and we've averaged in the last three quarters about 960 enrollments a quarter which backed into a very strong cost of enrollment of about $1350. So from our point of view, we don't see any reason why we can't increase spending again in the coming months. We're expecting similar KPI results. There's no question that the market share is available for us to continue to take and we plan to do so. We've been straddling a little bit of a scenario where we haven't had a tremendous amount of capital and we wanted to make sure that we started to move down the path of getting to adjusted, back to adjusted EBITDA positive results. And so that's why we focused our incremental spending the last two three quarters into those high LTV businesses to accelerate that process.
Michael Malouf: Okay, great. Thanks, I appreciate it.
Operator: Thank you. I’m showing no further questions in the queue. At this time, I'd like to turn the call over to Michael Mathews, Chairman and CEO of Aspen Group for closing remarks. Please go ahead.
Michael Mathews: Great, thanks everyone for your questions. I want to thank everyone for joining us this afternoon and the team here looks forward to talking with you again soon. Good afternoon.
Operator: Thank you, ladies and gentlemen for attending today's conference. This concludes the program. You may all disconnect. Good day.